Operator: Good morning. Thank you for standing by, and welcome to the Madison Square Garden Entertainment Corp. Fiscal 2026 Second Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Ari Danes, Senior Vice President, Investor Relations and Treasury. Please go ahead.
Ari Danes: Thank you. Good morning, and welcome to MSG Entertainment's Fiscal 2026 Second Quarter Earnings Conference Call. On today's call, David Collins, our EVP and Chief Financial Officer, will provide an update on the company's operations and review our financial results for the period. After our prepared remarks, we will open up the call for questions. If you do not have a copy of today's earnings release, it is available in the Investors section of our corporate website. Please take note of the following. Today's discussion may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Please refer to the company's filings with the SEC for a discussion of risks and uncertainties. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. On Pages 5 and 6 of today's earnings release, we provide consolidated statements of operations and a reconciliation of operating income to adjusted operating income, or AOI, a non-GAAP financial measure. And with that, I'll now turn the call over to David.
David Collins: Thank you, Ari, and good morning, everyone. For the company's fiscal second quarter, we reported revenues of $460 million and adjusted operating income of $190 million, both representing double-digit percentage increases year-over-year. These results were led by another record-setting year for the Christmas Spectacular in its 92nd holiday season run. This quarter's results also reflected growth across virtually every other aspect of our business. That included bookings, sponsorship and suites, as well as the various revenue streams related to the Knicks and Rangers. So with the successful first half of the year behind us, we're confident that we are well on our way to delivering robust growth in revenue and adjusted operating income this fiscal year. Let's now review some second quarter operational highlights. During the quarter, our venues welcomed approximately 2.9 million guests at over 475 events which was led by this year's Christmas Spectacular production. Across its entire holiday season run, which ended in January, we had 215 paid performances of the Christmas Spectacular, an increase compared to the 200 shows we ran last year. In light of the demand we saw, we added several shows to this year's run and across 8.5 weeks of performances, we sold over 1.2 million tickets. This reflected growth in both individual and group tickets and was the production's highest attendance in 25 years. We also saw a year-over-year increase in average ticket yields as we remain focused on strategically managing marketing and pricing our ticketing inventory. In addition, the enthusiasm from guests for this holiday tradition helped drive record level per caps on food, beverage and merchandise. As a result of these positive factors, per show revenue increased by a mid-single-digit percentage as compared to fiscal '25 and the Christmas Spectacular generated approximately $195 million in total revenue this season. The 2025 season also marked the introduction at Radio City Music Hall of new groundbreaking audio technology called Sphere Immersive Sound. This system is now in use for all concerts at the venue following its debut last week with the New York Phil Harmonic. Turning to bookings. During the fiscal second quarter, we saw an increase in the number of events year-over-year across our venues. This was primarily driven by growth in concerts at the company's theaters, family shows and marquee sporting events. However, the number of concerts at the Garden was down as compared to the prior year quarter due to the timing of events within the fiscal year. On the family show front, Cirque du Soleil's Twas the Night Before, completed a 63 show run across the Chicago Theater and the Theater at Madison Square Garden in December. Helping to drive improved financial results in this category on a year-over-year basis. In Marquee sports, we welcome back UFC, WWE, and professional tennis to the Garden during the quarter, while our robust schedule of college sports also got underway. From a demand standpoint, the majority of concerts across our portfolio of venues were again sold out during the second quarter. In terms of in-venue spending, merchandise per caps concerts were up in the quarter, while food and beverage per caps were down, both of which we primarily attribute to the mix of events. Looking ahead, we have continued to add a wide array of events to our calendar. That includes concerts across our venues, marquee sporting events at the Garden and special events like the Tony Awards, which will return to Radio City in June. We also recently announced a 30-night Harry Styles residency at the Garden. This run will begin in August, setting us up for continued momentum in the first half of the next fiscal year. With regards to the Knicks and Rangers, the teams began their '25, '26 seasons at the Garden in October. So far, we have seen higher per game revenues across our various revenue and profit sharing arrangements with the teams as compared to the prior year. Turning to our marketing partnerships business. Fiscal 2026 has been highlighted by a number of sponsorship announcements so far. For example, we recently reached a multiyear renewal with Anheuser-Busch, as well as an expanded multiyear partnership with Infosys. That includes making Infosys the official naming rights partner of the theater at Madison Square Garden, which is now called the Infosys Theater at Madison Square Garden. These marketing partnerships demonstrate the headway we are making with our sponsorship sales effort back in-house. In terms of premium hospitality, we continue to see strong new sales and renewal activity for suites at the Garden, including for a number of Lexus level suites that were recently renovated. Our progress in these businesses puts us on track for growth across both marketing partnerships and premium hospitality in fiscal '26. Now let's turn to our financial results. For the fiscal '26 second quarter, we reported revenues of $459.9 million, an increase of 13% versus the prior year quarter. This reflected increases in revenues from entertainment offerings, arena license fees and other leasing revenues, as well as food, beverage and merchandise revenues. The increase in revenues from entertainment offerings primarily reflected growth in the Christmas Spectacular production, mainly due to higher ticket-related revenues. This reflected 14 additional performances and higher per show revenues, both as compared to the prior year quarter. In addition, revenues from other live entertainment and sporting events increased year-over-year due to higher per event revenues and to a lesser extent, an increase in the number of events held at the Garden. Revenues subject to sharing of economics with MSG Sports pursuant to the arena license agreements and revenues from venue-related sponsorships, signage and suite license fees also grew year-over-year. I would also note that as a result of this year's schedule, the Knicks and Rangers played a combined four more home games during the fiscal second quarter as compared to the prior year quarter. This timing impact will reverse over the balance of the fiscal year. These increases were slightly offset by a decrease in revenues from concerts due to a decrease in the number of concerts at the Garden, which was mostly offset by higher per concert revenues and an increase in the number of concerts at the company's theaters. The increase in food, beverage and merchandise revenues mainly reflected higher F&B sales at Knicks and Ranger Games, the Christmas Spectacular production and other live entertainment and sporting events. These increases were partially offset by lower F&B sales at concerts, primarily due to a decrease in the number of concerts at the Garden. Second quarter adjusted operating income of $190.4 million increased 16% as compared to the prior year quarter. This primarily reflects the increase in revenues partially offset by higher direct operating SG&A expenses. Turning to our balance sheet. As of December 31, we had $157 million of unrestricted cash up from $30 million as of September 30, reflecting our strong cash flow generation during our seasonally busiest time of the year. In addition, our debt balances at quarter end was $594 million. This reflects the paydown of the full $20 million revolver balance during the quarter. As a reminder, we have repurchased approximately 623,000 shares of our Class A common stock for $25 million fiscal year-to-date. We have approximately $45 million remaining under our current buyback authorization. And going forward, we will continue to explore ways to opportunistically return capital to shareholders. So in summary, with the continued momentum in our business, we are confident we are on a clear path to delivering a robust fiscal '26 and believe we remain well positioned to drive long-term value for our shareholders. I will now turn the call back over to Ari.
Ari Danes: Thank you, David. Operator, can we now open up the call for questions?
Operator: [Operator Instructions] Your first question comes from the line of Stephen Laszczyk from Goldman Sachs.
Stephen Laszczyk: David, on the Christmas Spectacular nice performance this year. I was just curious if you could maybe talk a little bit more about the pricing sell-through and audience demographic trends that played out throughout the 2025 holiday season and how those might have compared to prior years for the Spectacular. And then, looking ahead, I would also be curious to your thinking on the opportunity to grow the Spectacular from here? How much more headroom do you feel like still exists in things like show count and pricing as you look ahead into next year's run?
David Collins: Great, Stephen. Thanks for the question. Yes, obviously, we had a great run this year. In this year's run, we saw a number of positive signs across ticket demand and pricing. And we continue to optimize our schedule, our pricing and our marketing for the production. And we believe we are set up for success in the future years. On an overall basis, this year, per show revenue increased by a mid-single-digit percentage in that, and that reflected a number of positive factors, including growth in per show ticketing revenue, as well as record high food, beverage and merchandise per caps. The growth in per show ticketing revenue was driven by increased per show sell-through and as well as an improvement in average ticket prices. So if we take a look at the sell-through demand, demand was broad-based across the production with growth in both individuals and groups. We also saw growth across every geographic category that we track with the one exception of international tourism, which was down versus last year. I'd add that the decline in international ticket sales is consistent with lower international tourism to New York this past holiday season. So while I think it may be a little premature to give specifics, based on the demand we saw this year, we believe there is room to again increase the Christmas show count for next holiday season. We're also able to increase our average ticket yield by managing marketing and pricing our ticket inventory effectively. The Christmas Spectacular continues to be a premium entertainment product and it's still priced well below average ticket prices for comparable entertainment options. And going forward, we continue to believe that there are opportunities to improve our yields. So overall, with that said, we're optimistic that there is continued ticket pricing upside along with the potential to increase our show count as we look ahead to next year and beyond.
Operator: Your next question comes from the line of Cameron Mansson-Perrone from Morgan Stanley.
Cameron Mansson-Perrone: Focusing in on the concert business, I'm wondering if you could give us an update on bookings trends more generally at the Garden and across the portfolio. How are those trending through the remainder of fiscal '26 and acknowledging it's early right now, any indication on pacing for early 27?
David Collins: Sure. If we take a look at concert bookings for the rest of fiscal '26, first, let me reiterate that we had a successful first half of the year in our bookings business. We saw an increase in the total number of bookings in the fiscal first half, including for concerts with robust growth in our financial results year-to-date. In terms of the rest of the fiscal year in our concerts business at our theaters, similar to what we had said on our last call, we do continue to pace behind for the March and June quarters. However, given that the typical booking windows for our theaters is 3 to 6 months, we are still actively booking concerts for the remainder of the fiscal year. And if we take a look at the Garden, we are currently pacing up strongly for both the fiscal third and fourth quarters. And in fact, we have now exceeded our concert bookings goal for the year at the Garden and that puts us on track for robust growth in the number of concerts at the arena this fiscal year. As far as -- I think the second part of your question was how our concert bookings looking for the first half of 2027, I would say it's a bit early to discuss pacing for our theaters, given the short booking window that's typical there. However, with the Garden, we typically book 6 to 9 months out. So at this stage, we do have strong visibility into the September '26 quarter and increasing visibility into December '26 quarter. In short, I would say that we are off to a really strong start at the arena. We are pacing well ahead in the first half of fiscal '27 as compared to the first half of fiscal '26. And that, of course, includes the impact of the recently announced Harry Styles residency, as well as a number of other notable acts, including multi-night runs from Bon Jovi and Rush as well as first-time headliners such as Olivia Dean, Alex Warren and Louis Tomlinson. So Also, as you probably remember, the September 2025 quarter was a record for the number of concerts in any quarter at -- the Garden, and we are now on pace to shatter that record in the upcoming September quarter. So we are encouraged by the early indicators for next year and believe that the Garden is likely headed towards another year of really strong concert growth in fiscal '27.
Operator: Your next question comes from the line of Brandon Ross from LightShed Partners.
Brandon Ross: Just wanted to follow up on Cameron's question. We're in the second half of this question about fiscal a lot of residency activity there with 30 nights at Harry Styles and 9 nights of Bon Jovi, and who knows what else. Investors are trying to understand exactly how incremental this is going to be versus fiscal '26, both, I guess, in terms of the amount of nights filled and then the associated revenue. So any color you could provide to help us get there, including if this is a promoted run or rental on the Harry Styles?
David Collins: Okay. Sure. Brandon, thank you. Thanks for the question. Well, first, let me say we are pleased to welcome back Harry Styles to the Garden for this record-breaking run. These 30 nights will start in late August and conclude in October, which is within our fiscal '27 first and second quarters. And the shows will take place every Wednesday, Friday and Saturday night of the Garden for 10 straight weeks during that period, and we are already seeing strong momentum in presales. I don't know if you saw, but Ticketmaster reported $11.5 million registrations making this presell the largest ever presale for a single artist in the New York market. As it relates to our outlook for fiscal '27, while we don't think all 30 nights will be incremental, we do expect this to be a meaningful contributor to a concert growth at the Garden next year by taking place three nights per week. It still leaves a lot of available inventory in August and September, which is a time when the Knicks and Rangers seasons are not quite yet underway. I would also say that New York is a unique market, and the Garden is a unique venue. And we have a good track record of booking and selling out shows that no matter what day of the week it may be, we can sell them. And we are already seeing positive signs outside of this residency with a number of other notable headlines announced, including several multi-night runs. So as I mentioned earlier, we are pacing well ahead for fiscal '27. So once again, we believe that Garden is likely headed towards another year of strong concert growth. And I think your last question was whether this was a co-promote or rental. This will be a rental deal.
Brandon Ross: Okay. And then first of all, there are more preregistrations for Harry Styles and people live in New York, pretty impressive.
David Collins: Yes.
Brandon Ross: Okay. And then, first of all, the more preregistrations for Harry Styles and people live in New York City, pretty impressive. Yes. Then thinking about future years, should we expect these longer residencies to become an annual thing? Or is this really just a one-off year in fiscal '27?
David Collins: Yes, sure. Yes. I mean let me say a few things. First, obviously, let me reiterate that we're off to a strong start in terms of bookings for '27. And now, of course, include the Harry Style residency for 30 nights. And we also have, as I mentioned before, Bon Jovi for a 9-show residency at the Garden this summer in -- in fact, we are in discussions for another potential residency at one of our theaters also in fiscal '27. So you can see that we believe there's a great value in bringing residencies to our venues as it -- we view it as building more of a recurring base of business and it also increases our visibility into the forward calendar, which is really important to us as well. So this remains an important area for our booking business. And I think while it's a little too early to discuss fiscal 2028 and beyond, we are continuing to have discussions with other artists about future residencies at all of our venues, including the Garden and we look forward to keeping you updated on that progress.
Operator: Your next question comes from the line of Peter Henderson from Bank of America.
Peter Henderson: Can you just talk about what you're seeing for consumer demand trends across the portfolio, both from an attendance and per cap perspective and just how they're tracking versus last quarter and maybe last year? And then also just looking forward what you're seeing in terms of on sale activity. And then on capital returns, maybe can you talk about how you decide to lean in and how you size what you're going to return and what the key inputs are that you weigh, whether it be valuation or visibility into free cash flow or leverage comfort?
David Collins: Sure. Thanks, Peter. Sure. Let's start with the consumer demand question. I mean, we certainly keep a close eye on the macro environment, but I have to say we continue to see strong consumer demand. There are a number of factors that support our view. I mean, first, of all, as we've discussed, we saw exceptional demand for the Christmas Spectacular's 2025 holiday run. We had another year of record revenues there. We had our highest attendance in 25 years and we had record high food, beverage and merchandise per caps. In terms of bookings, the majority of our concerts at our venues were again sold out this past quarter and -- and year-to-date, we have seen concerts perform better than we initially expected, and a number of upcoming acts across our venues have added additional shows due to strong cement -- I'm sorry, strong demand. As we look at the next 2 quarters, the sell-through rate for concerts is currently pacing ahead of where it was the same time last year. And I guess the last thing I would say is, as I mentioned earlier, the Ticketmaster reporting of 11.5 million registrations during the Harry Styles presale the largest ever presales or a single artist in New York, I would say, given all this, we continue to see strong demand from consumers for sure. As far as your question about capital, as we've discussed before, here at MSG, we have three key priorities in terms of our capital allocation and that first one being ensuring that we have a strong balance sheet and at the quarter end, we had net debt of approximately $437 million, and we expect the business should naturally delever as it grows over time. Second is to ensure we have appropriate flexibility to pursue compelling opportunities that come along and if -- and when they arise. In terms of capital projects, right now, there aren't any major ones to flag as we look out at the rest of the fiscal year. And I would say our third priority remains to opportunistically return capital to our shareholders. And as you all know, we repurchased $25 million of stock during the fiscal first quarter of this year, and we still have $45 million remaining under our current buyback authorization. And what I would say is going forward, we will continue to explore ways to return capital to our shareholders.
Operator: Your next question comes from the line of David Karnovsky from JPMorgan.
David Karnovsky: I wanted to see if there were any updates on the Penn Station process and whether that original May timeline is intact for a master developer selection and on a related basis, assuming there was some involvement for the theater at MSG, like how should investors think about the current contribution of that venue to the current company's financials? And could shows like, sir, which you called out, get rerouted to like another one of your venues like the Beacon or Radio City in the event it needed to be?
David Collins: Sure, David. Thanks for the question. As far as the plans on redevelopment, as you know, the U.S. Department of Transportation and Amtrak continue to reiterate their intended project schedule. As early as in January, they completed an initial step to select a short list of developers to participate in the RFP process. And -- and as far as we know, based on that RFP process, they are expected to select a massive developer by May 2026. And I would say, as invested members of our community, we remain committed to improving Penn Station in the surrounding area. And as redevelopment of the area continues, we are committed to collaborating closely with all stakeholders that -- and I would say that's all -- we have to report at this time, but things seem to be still on target for that May 2026. In terms of the theater at MSG, first, I'd remind you that the significant majority of our company's economics are driven first and foremost by the Garden and second, by the Christmas Spectacular with the theaters in aggregate following that. Also, the theater in MSG is one of four theaters in our portfolio and one of three in New York varying capacities and if needed, we believe that we have the ability to shift some events from the Infosys theater at MSG to our other theaters in New York.
Ari Danes: Thanks, David. Operator, we have time for one last caller.
Operator: Your final question comes from the line of Peter Supino from Wolf Research.
John Stid: Jack Stid on for Peter. Two questions for you, if I may. First, SG&A was elevated year-on-year. Could you unpack that for us? And how should we think about SG&A for the balance of the fiscal year?
David Collins: Sure. Thanks, Jack. First, yes, let me say that SG&A expense results were a bit noisy this quarter and included a couple of nonrecurring items. The largest one, which we called out in the earnings release was $4 million in executive management transition costs. We had also reported executive management transition costs in the year ago quarter. Additionally, the quarter included a onetime expense true-up of $2 million, which related to prior year periods. With that being said, even if we exclude the nonrecurring items, SG&A expense growth this quarter was elevated and above what I would expect our long-term expense growth to be. The growth reflects higher employee compensation, which is consistent with what we've said in the past about higher labor costs for this fiscal year. And as we look to fiscal '26 for the rest of -- I'm sorry, rest of fiscal '26, we similarly expect the March quarter reflects higher labor costs on a year-over-year basis. In addition, I would note that we recently implemented a voluntary exit program at the company. This program is meant to support our goals around streamlining processes and supporting a more efficient and nimble organization. As a result, we do expect to incur approximately $8 million in severance expense related to the program, primarily in the March quarter, and we expect that SG&A will start to normalize by our June quarter.
John Stid: Got you. That's very helpful. And then secondly, you called out lower F&B per cap due to mix this quarter. Could you impact as well?
David Collins: Sure. Let me just say both F&B and merchandise per cap can fluctuate quarter-to-quarter based on the mix of artists and genres. For example, Rock A typically generate higher F&B spend but lower merchandise spend, while Pop acts tend to show the opposite, primarily due to differences in audience demographics. So using the Garden as an example, which obviously is our largest and most economically significant venue, last year in the second quarter, the Garden was more heavily weighted towards rock, while this year, the Garden featured a broader genre mix, including Pop acts. So as a result, this quarter at the Garden, F&B per caps were down, but merchandise per caps were up year-over-year, partly due to this mix that I'm talking about. However, if you look at it on a combined basis at the Garden, food, beverage and merchandise per caps were up overall in the fiscal second quarter. So the shift to merchandise sales more than offset the decrease in food and beverage at the arena. I would also note that for the artists that played the garden in both periods, we saw growth in their food, beverage and merchandise per cap. So overall, we continue to see strong consumer demand in this part of our business.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Ari Danes for closing remarks.
Ari Danes: Thanks. We look forward to speaking with you on our May earnings call. Have a good day.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.